Operator: Good morning. My name is Sarah, and I would like to welcome everyone to the JetBlue Airways Fourth Quarter 2021 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, all participants are in a listen-only mode.  I would like to turn the call over to JetBlue's Director of Investor Relations, Joe Caiado. Please go ahead.
Jose Caiado: Thanks, Sarah. Good morning, everyone, and thanks for joining us for our fourth quarter 2021 earnings call. This morning, we issued our earnings release and a presentation that we'll reference during this call. All of those documents are available on our website at investor.jetblue.com and have been filed with the SEC. In New York to discuss our results are Robin Hayes, our Chief Executive Officer; Joanna Geraghty, our President and Chief Operating Officer; and Ursula Hurley, our Chief Financial Officer. Also joining us for Q&A are Dave Clark, Head of Revenue and Planning; and Andres Barry, President of JetBlue Travel Products. David is, of course, a familiar face to many of you in the investment community. This morning's call includes forward-looking statements about future events. All such forward-looking statements are subject to certain risks and uncertainties, and actual results may differ materially. Please refer to our most recent earnings release and our most recent Form 10-Q or 10-K for a more detailed discussion of the risk factors that could cause the actual results to differ materially from those contained in our forward-looking statements, including, among others, the COVID-19 pandemic, fuel availability and pricing and the outcome of the lawsuit filed by the DOJ related to our Northeast Alliance. The statements made during this call are made only as of the date of the call, and we undertake no obligation to update the information. Investors should not place undue reliance on these forward-looking statements. Also during the course of our call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release, a copy of which is available on our website. And now I'd like to turn the call over to Robin Hayes, JetBlue's CEO.
Robin Hayes: Thank you, Joe, and congratulations to Lisa and David, and good morning, everyone. I'd like to start by thanking our 22,000 crewmembers who have been extraordinary through 2021. I'm so proud of their efforts to continue to deliver the JetBlue experience our customers expect regardless of the challenges. The spike in Omicron cases, particularly during the holiday peak, drove an unprecedented increase in sick calls across the industry. The Northeast, where the vast majority of our crew are based, was especially impacted, and we recognize this created very difficult travel conditions for our customers. Despite these challenges, our crewmembers remain focused on running a safe airline. As we look ahead, we believe JetBlue is positioned extremely well for future success as many of our investments come to fruition in 2022, and we remain well on track to restoring our earnings power. We have a great team of crewmembers, and I'm confident they will continue to deliver the best service and products in the industry, while inspiring humanity. Let's turn now to Slide 4 in the deck. For the fourth quarter, we reported an adjusted loss per share of $0.36. While Omicron has temporarily weighed on demand in the very near-term, we expect sequential month-on-month improvement through the quarter, ultimately returning to sustained profitability in the spring and beyond. In fact, if it was not for Omicron, we believe we would have generated higher revenue this quarter than in the first quarter of 2019. I'd like to highlight several key achievements in 2021, enabled by the outstanding work of our crewmembers. We generated revenue close to 2019 levels this summer, outperforming the nine largest U.S. airlines aided by the solid execution of our commercial initiatives. And we turned a profit in the months of July and August as a result. We put a solid plan in place to deliver low single-digit CASM ex growth in 2022 versus 2019, methodically identifying savings to help offset significant industry cost headwinds and our investments in the NEA. You'll recall that we were quick to identify and call out these cost pressures in the middle of last year, and we will continue to be extremely transparent with all of you on the trajectory of our recovery. We brought much needed competition and customer choice to the Northeast with our Northeast Alliance. We also disrupted the transatlantic market with the launch of our service to London, and our award-winning products and service. We now have a greatly enhanced network with stronger relevance to all customers, both business and leisure as we come out of the pandemic. Turning to 2022, we look forward to continuing to execute on our plan to create value for all of our stakeholders, our customers, our crewmembers, our owners and our communities, with our primary focus remaining on margin. Moving to Slide 5. The recent surge in COVID case counts nationwide, particularly here in the Northeast, underscores the need to remain nimble and adjust capacity quickly. However, with respect to Omicron, we are confident the worst is behind us and evidenced by recent case count trends in New York City plummeting. We believe demand is poised to reaccelerate through the quarter into a robust spring and peak summer travel season, similar to the setup around this time last year. And we are already seeing demand rebound strongly, with net revenue builds up roughly 30% compared to the first week of January. Consequently, while we do not expect to be pretax profitable in Q1, we expect the month of March to be much stronger than January and February. I firmly believe that 2022 will prove to be a transformational year for JetBlue's structural profitability as we look to restore our earnings power and create value for our shareholders. And we plan to achieve this by pulling meaningful commercial levers, keeping our relentless focus on costs and maintaining our measured approach to capital allocation. Despite all the near-term volatility, we plan to leverage our enhanced network enabled by our Northeast Alliance to unlock further value in our key geographies, while promoting robust competition. And we plan to bolster relevance and competition in the region even more with the expansion of London service from New York and the exciting addition of Boston transatlantic service later this year as well. I'm also pleased with the ongoing execution of our other commercial initiatives, including fare options and our TrueBlue loyalty program, both of which continue to be important drivers of revenue growth. On the cost front, we saw meaningful pressure across the industry in 2021 as the recovery took hold. The nonlinear recovery emphasizes our need to double down on cost control, as Ursula will discuss. I believe our focus on driving tangible productivity benefits will help ensure we become an even more efficient enterprise. We have also demonstrated our commitment to repairing our balance sheet, having paid down approximately $1.9 billion of debt this year. We'll continue to be measured and balanced in our capital allocation to drive further shareholder value over the coming years. Let's move now to Slide 6. Today, I'd like to spend a minute highlighting the tremendous momentum from our JetBlue Travel Product subsidiary. Back in 2018, we announced a plan to deliver $100 million in run rate EBIT, and we're marching towards our goal. 2021 was a banner year, with record JTP revenue, including 50% commissions revenue growth versus 2019 and $45 million in EBIT contribution. Importantly, we saw growth in all of our main offerings across the JTP portfolio, which is an exceptional result, just considering how challenging this period has been for aviation. We have also been able to leverage JetBlue's core DNA of creating better customer experiences backed by our exceptional service. A few accomplishments to highlight include: enhanced flight and hotel vacation packages with accelerated take rates to key Caribbean destination; the launch of Paisly as our post travel – as our post-purchase platform to add more ancillary components, such as car rentals; and additional updates to our travel insurance offering. I'm extremely proud of the ongoing work from the JTP team, and I'm optimistic as to how this business will scale up as demand stabilizes, and we build customer awareness, putting us firmly on a path to reaching $100 million EBIT run rate this year. Turning to Slide 7. Mitigating risks to ensure the long-term sustainability of our business is so imperative for JetBlue. And this is why we're at the forefront of ESG, posting our efforts where we can have the most positive measurable impact. Late last year, JetBlue, along with our venture capital subsidiary, JetBlue Technology Ventures from the aviation climate task force with nine other airlines and the Boston Consulting Group. Together, we plan to invest in and facilitate the development of emerging technologies to decarbonize aviation. And earlier this month, we launched our sustainable travel partners program, enabling our corporate customers to play a direct role in the sustainability of their business travel by purchasing SaaS credits. We're also delivering on our commitment to our crewmembers, our greatest asset by creating new development opportunities. Growing our talent pipeline is critical to the sustainability of our long-term success. In our Gateway Direct program, which provides a path to pilot and technical operations careers for current crewmembers, women represent roughly 40% of our first group of selected candidates, far exceeding the industry average. And in our Gateway Select program open to all aspiring to become pilots, people of color represent more than 44% of our classes compared to roughly 10% of the industry pilots in the U.S. And now we are expanding these programs to the families of all of our crewmembers. Thanks again to our crewmembers. We have so much to look forward to and so much to do in 2022 and beyond as we work to make JetBlue an even better travel company for our customers, crewmembers and owners. And with that, over to you, Joanna.
Joanna Geraghty: Thank you, Robin. I'd also like to thank our crewmembers for living our values and their commitment to our customers and each other. Despite all of the challenges of the past year, including the most recent COVID wave across the country, disrupting operations during the holidays, you've continued to step up, and I cannot be more excited for the future that's being shaped by the best people in the industry. Turning to Slide 9. During the fourth quarter, our revenue declined 9.7% year over two. Driven by strong holiday peaks, this was within range of our initial assumptions despite a late quarter impact from the Omicron wave. The surgeon case counts disproportionately impacted the Northeast, hitting New York particularly hard, driving increased customer cancellations and bookings softness during the most significant revenue weeks of the quarter and also led to some crew-related cancellations. The abrupt tightening of international travel restrictions starting in early December also temporarily dampened the momentum in leisure bookings. Despite all these challenges, our underlying revenue performance was very strong. And this keeps us optimistic about the future as we continue to ramp up hiring efforts towards a fully staffed operation. This is an essential prerequisite to our long-term performance. And despite the Omicron surge, we were extremely pleased with the strength of our Mint cabin, which outperformed during the holidays even when compared to pre-pandemic levels. We expect premium leisure to continue to be a source of strength going forward and one that our business model is ideally positioned for. For the first quarter of 2022, we expect revenue to decrease between 11% and 16% year over three. This sequential slowdown reflects the large negative impact from Omicron on Q1 demand. However, trends have largely stabilized and are improving across all geographies. As quickly as the Omicron wave swept through the Northeast, we are seeing cases rapidly decline, and we expect sequential month-on-month improvement leading to a profitable Q2 and a very strong summer peak. Even with the Delta and Omicron variants, our underlying performance during the holiday and peak travel periods demonstrates our ability to generate revenue. We are also very encouraged by our JTP vacations bookings, having rebounded last week to over 3x the revenue we saw four weeks ago, which we view as a leading indicator as we look ahead. Our revenue performance continues to be underpinned by our various unique commercial initiatives. We have hit an outstanding milestone with our Northeast Alliance with American Airlines. With a greatly enhanced network, reciprocal elite loyalty benefits and accelerated growth that have all yet to be fully rolled out, we reached $100 million in code share revenue generated by the alliance in its early stages. We are bringing sorely needed competition and growth with low fares in the region and creating economic benefits with thousands of new jobs. As a proof point, since the launch of the NEA, we announced the largest expansion of our network in the past 15 years with nine new JetBlue cities and 32 new routes. This would not be possible without this alliance. Together, we’ve added over 50 new routes, including 19 international flights. While business travel may have been pushed out further with this latest wave, we see a strong business travel recovery on the horizon for this region, and we expect to capture an increasing share of this tremendously valuable market as we stand up a true third competitor in the region and offer business travelers additional choice with a fabulous travel experience and low fares on JetBlue. Our team has also expanded our portfolio of partners, allowing JetBlue to broaden its reach and serve more customers with more options. In addition, we bolstered our code share with Icelandair to Keflavík in Europe. We also grew our code share with Aer Lingus, giving customers the ability to book flights to Dublin and Shannon from JFK and Boston through JetBlue. Our Evolved Fare Options offering has driven a step function improvement in our revenue base in excess of 2 points. In the fourth quarter, the buy-up rate to the Blue Fare was roughly 10 points higher than in the third quarter. Our customers continue to find value in our product across all categories as we continue to offer competitive fares. And on the loyalty front, we took steps to further evolve our program, building on a busy year for our team. In addition to introducing reciprocal elite benefits for JetBlue and American customers, we recently announced new Mosaic benefits for 2022. To reward our most loyal customers, we introduced a new tier with an all-new Mosaic Plus program that includes Mint upgrades, the most widely requested perk from our loyal Mosaic customers. And our Mosaic customers will now enjoy even more space seat perks, Heathrow Express upgrades and more. As I’ve said on prior calls, we are still in the early innings of our loyalty evolution and look forward to continuing to grow this meaningful contributor to our business. Turning to capacity on Slide 10. During the fourth quarter, our capacity declined 5% year over two. For the first quarter of 2022, we expect capacity to range between a decrease of 1% to an increase of 2% year over three as the demand recovery regains steam following the temporary setback tied to the Omicron variant. We will continue to be nimble and react to the environment and this capacity guide is 5 points lower than our plan before Omicron. That being said, we expect demand to accelerate throughout the year and we are positioning JetBlue to serve more customers than ever this year. For the full year 2022, we are planning to grow capacity between 11% and 15% versus 2019 as we bring aircraft utilization back towards pre-pandemic levels and take delivery of new aircraft, while retaining flexibility. Over 3/4 of our 2022 growth is planned to be deployed in the Northeast as we ramp up the NEA and deliver better service to a wider range of destinations. We believe corporate travel will recover in a nonlinear path, similar to the shape of leisure demand. This past quarter, we were encouraged to see corporate bookings recover to roughly half of 2019 levels prior to the onset of the latest wave compared to approximately one-third at the start of the quarter. And through the NEA, we intend to gain a larger share of business travel as we are able to offer an expansive network, robust schedule as well as a superior product and service. Based on surveys and conversations with our corporate customers, we expect business travel to accelerate in Q2 and beyond. Throughout the year, we’ll remain nimble and tactical with capacity as we serve the growing travel needs of our customers and deliver the JetBlue experience. Again, a huge thank you to our crewmembers. I know it’s not been easy, but we are positioned for a strong year as we restore earnings in 2022 and beyond. Now I’ll turn the call over to you, Ursula.
Ursula Hurley: Thanks, Joanna. I’d also like to thank our amazing crewmembers for continuing to deliver the experience that gets our customers coming back and keeps our brands strong. We have an incredibly passionate team who are out there delivering every day despite the many challenges we face in this industry. The dedication to our company and our customers is a key reason why we’re so confident in our long-term future. I’ll start on Slide 12 with a brief overview of our financial results for the quarter. Revenue was $1.8 billion, down 9.7% year over two. Cost per available seat mile was up 14.4% year over two. CASM ex-fuel was up 16.3% year over two. Adjusted EBITDA was $31 million. GAAP loss per share was $0.40, and adjusted loss per share was $0.36. It is important to note that if not for Omicron, we would have hit the better end or exceeded our original revenue, unit costs and EBITDA assumptions for the quarter. For the first quarter of 2022, we are forecasting a pretax loss. However, we’re confident that we’re on a path to sequential pretax margin improvement with sustained profitability in the second quarter and beyond. We’re encouraged by economic forecast that point to a strong macro backdrop for 2022, and we expect to achieve greater operating leverage as we grow revenue while continuing to improve our unit cost performance. Turning to Slide 13. We believe we are well on track to building back our margins through a solid plan to produce strong revenue growth and maintain a competitive cost structure, ultimately creating value for our owners. Given the nonlinear recovery, we’ll continue to be nimble in managing the business through the lens of margin. During the fourth quarter, CASM ex-fuel increased 16.3% versus 2019. Consistent with the industry, our cost performance was impacted by incremental incentives and premium pay tied to the surge in case counts and the resulting operational impact worth approximately 2 points of CASM ex-fuel in the quarter. Our fourth quarter costs also exclude a bonus related to the ratification of our first 5-year contract for our in-flight crewmembers with TWU. We are pleased that we have finally reached an agreement. For the first quarter of 2022, we expect CASM ex-fuel to increase between 13% to 15% year over three. Excluding the impact of short-term headwinds, such as incentive and premium pay, worth roughly 3 points as well as rents and landing fees that we covered on prior calls, we estimate our first quarter CASM ex-fuel would be up 8% to 10% year over three. Moving to Slide 14. For the full year 2022, we expect CASM ex-fuel to increase in the range of 1% to 5% versus 2019. We expect elevated unit costs in the first half followed by a meaningful improvement in the second half of the year as we plan for our network, operation and aircraft utilization to settle into a new normal with optimal staffing levels along with the ramp of our planned cost initiatives. As a reminder, our full year CASM ex-fuel outlook includes a maintenance headwind of roughly 2 points and Northeast Alliance investments worth 2 to 4 points. We have established a comprehensive plan to help us achieve our cost goals. This includes productivity initiatives for both our frontline and support center crewmembers, collectively worth $60 million in annualized savings in 2022 to help offset wage increases. In addition, we now expect to benefit from technology investments, which we made throughout the pandemic by improving efficiencies and streamlining processes through better data leverage. We continue to maintain our discipline in managing business partner needs through sourcing initiatives and tight controls on discretionary spending. Our teams have also identified solutions to cost effectively maintain our aging fleet. And as we continue to onboard new crewmembers to support future growth, we expect to gain meaningful efficiencies as we optimize staffing in our operation in addition to benefiting from juniority. Nearly 20% of our crewmembers have been with us for less than two years. Our teams continue to work tirelessly in executing our plan to make our cost structure more competitive and positioning JetBlue for long-term value creation. Keeping our costs low is foundational to our success, and we are confident about our plan that will drive unit costs. Turning to capital allocation on Slide 15. We closed 2021 with a healthy liquidity balance with unrestricted cash and short-term investments of $2.8 billion or 35% of 2019 revenue. During the fourth quarter, we paid down approximately $120 million of debt, which included approximately $20 million in prepayments. For the full year, we have paid a total of approximately $1.9 billion of debt. I’m proud of the team for this tremendous achievement. Our adjusted debt-to-cap ratio ended the year at 53%, and our balance sheet continues to be among the strongest in the industry. For the full year 2022, our CapEx forecast remains at approximately $1 billion, consisting mostly of aircraft spend, which we intend to fund with cash. We’re thrilled to be adding next-generation fuel-efficient aircraft into our fleet, which is fundamental to our path to generating long-term earnings growth. We’ll continue our balanced approach to capital allocation to drive shareholder value, and we remain absolutely committed to returning our balance sheet to investment-grade credit metrics. I’ll close with another thank you to all of our crewmembers. While we are approaching the third year of the pandemic, we are firmly on track to execute our cost plan, grow our earnings power and create value for all of our stakeholders. With that, we will now take your questions.
Jose Caiado: Thanks, everyone. Sarah, we’re now ready for the question-and-answer session with the analysts. Please go ahead with the instructions.
Operator: Thank you. [Operator Instructions] Our first question comes from Mike Linenberg with Deutsche Bank. Your line is open.
Mike Linenberg: Good morning, everyone. I guess, Joanna, the $100 million of code share revenue that you identified from the NEA, is that cumulative? Or was that for the quarter? And how should we think about the run rate of that? Like annually, what’s the magnitude? Where does that go? Thank you.
Joanna Geraghty: Yes. Thanks, Mike. So you should think of that as cumulative. And I could say that we haven’t gone into a great detail in terms of what we think the future path is here. We’ll give you, I think, some more insight as we move through COVID, but it will ramp up significantly in the coming years. We are in the very early stages of the NEA.
Mike Linenberg: Okay. Great. That’s helpful. And then just, Robin, on just kind of the ESG initiatives. I think what was it in 2020, what you were the first major carrier to become carbon-neutral domestically. And then I think in 2021, you added the London flights. For 2022, are you planning carbon neutrality 100% of your system? Have you come out with sort of what your goal is for this year? Thank you.
Robin Hayes: Yes. Thanks, Mike. Good morning. Yes. Right now, our position is net carbon zero by 2040, which is about – well, not about, is 10 years ahead of the industry commitment. And right now, when we think about the challenges around climate, which are very real and airlines really need to lead in this area for both the short and the long-term. So right now, in terms of some of the shorter-term initiatives that we’re focused on, we’re very focused on continuing to build the book of our sustainable aviation fuel deals. That’s very important. We’ve talked about before about the electrification of some of our ground equipment. We’re going through a big fleet replacement, as you know, in terms of new airplanes coming in that are a lot more fuel efficient. And whilst we’ve delayed the retirement of our 190 airplanes, that’s something, obviously, we still have pending in the future. And then, finally, as we come out of COVID and traffic ramps up, really working with the FAA ATC to use a lot of these more fuel-efficient approaches that we’ve been working on because there will be significant savings there. We estimate in the U.S. potentially up to 6% to 8% fuel – carbon emission reductions with a more efficient air traffic control system. And as traffic comes back, that’s going to get more important.
Mike Linenberg: Okay. Very good. Thank you.
Operator: Our next question comes from Dan McKenzie with Seaport Global. Your line is open.
Dan McKenzie: Hi. Good morning. Thanks. You guys alluded to strong demand trends in the script here. And Dave, I’m just wondering if you can comment a little bit – if you can elaborate a little bit further on what the dashboard is saying about pent-up demand from here. And I’m just wondering if you can help us understand how does it compare to what you’ve seen historically? Are there any demographic or wealth factors that might cause it to be different this time? And just wondering if you can elaborate a little bit more.
Dave Clark: Good morning, Dan. Thanks for the question. And as noted, we were seeing very positive revenue momentum throughout Q4, seeing that both in the peaks with the holiday travel as well as with our business customers, which were recovering pretty steadily throughout the quarter. And we’re absolutely seeing signs of pent-up demand as we recover from the pandemic. Probably the biggest example is the New York City to the London route, where we saw our revenue and demand jumped 5x in the quarter opened last fall. It went from a market that was sort of behind initial forecast because of travel restrictions to right back on track. We’ve also seen, as mentioned earlier, about a 30 point improvement just in the last three weeks here for revenue. So a very quick snapback after Omicron, well faster than what we saw last year with previous waves where it took maybe six months or so to improve 50 points. So we’re seeing the cycle accelerate more quickly. And then there’s just other indicators that consumer spending is healthier sort of on a historical basis, if you go out after the last couple of big crisises. The GDP growth we’re seeing now, the excess customer savings, customer spend in other categories and even things like New York City rents snapping back pretty quickly, all seem to indicate real strength for the customer and pent-up demand that wasn’t there in the past. So we’ve seen good revenue momentum, and we expect to continue to see that throughout 2022.
Dan McKenzie: Yes. Very good. And then a second question here, going back to the PowerPoint presentation, restoring earnings and margins beyond 2019 levels. Should that be interpreted as a restoration of the $2.50 to $3 EPS target that JetBlue previously had for 2020? And as we kind of think about that – the restoration of earnings, should we be thinking about 2023 as a transition year as well? Or is this – or is the glide path more smooth as you kind of think about restoring the company?
Robin Hayes: Hi, Dan, I’ll take that, and good morning. Hope you’re doing well. No. I mean, I think that’s very important. I mean we – I think one of the challenges that this industry has continued to face as witnessed by what we just went through with the latest wave is, there are so much about this we have not been able to control. What we do know, and Dave, I think, gave some very good data points is that every time we go through this, the recovery snaps back quicker. So on the basis that as we look ahead for the rest of the year into next year, that is not something that is going to get troubled by future waves. We have incredible revenue momentum. I mean we’ve got the proof points of what we were able to deliver last year in the peak. We’ve got the really good momentum that we saw before the latest wave at the end of the year. We’ve got the fact that revenue in the first quarter this year would have been greater than 2019 if it wasn’t the wave. So tremendous flowing revenue momentum. I then overlay all the revenue initiatives, which continue to perform extremely well, whether that’s TrueBlue, Fare Options, JetBlue Travel Products, some of the code share revenue around the NEA. And then with our laser like focused on cost, and we were making great progress as we came into 2020. A lot of the – what a lot we’ve all seen in the last two years really relate to the fact that our business was fundamentally disrupted. A lot of the flying was stopped and it really sort of – we’ve been in recovery mode. But as we look ahead, we are laser-focused on that cost control. We know that’s extremely important for our sort of ability to drive superior margins. And so yes, with the revenue momentum and our focus on costs, we should absolutely and we will be in a position not to just restore those earnings to $2.50 to $3, but to grow beyond that.
Dan McKenzie: That’s terrific. Thanks for the timing guys.
Operator: The next question comes from Duane Pfennigwerth with Evercore. Your line is open.
Duane Pfennigwerth: Thank you. On the full year capacity of 11% to 15% starting from flat in 1Q, can you talk about the components of that growth? How much is Europe? How much is stage and gauge? And any help you can give us with the cadence. So for example, as we think about 2Q, which is in your planning cycle, how big of a step up is it into 2Q?
Joanna Geraghty: Yes. Thanks, Duane, I’ll take that, and then I’ll flip it to Dave for any additional color. So I think you should think of it as sort of a slow and steady ramp-up through the year with summer obviously being what we’re focused on given our performance from last summer specifically. We need to be in a position to take advantage of what we see will be a tremendous pent-up demand through that peak period. Just – if you recall, we actually had the strongest revenue performance last summer of any U.S. carrier. And so we feel that we can absolutely duplicate that performance this summer, particularly given leisure and leisure has led the way. As you know, we performed extremely strong in that area. We’ve also got the NEA ramping up, contributing to about 3/4 of the capacity growth that you are seeing. We were – we’ll be on track for a record spending year in New York with 300 departures out of JFK and LaGuardia combined. So very excited about what we’re seeing. Maybe just quickly on the utilization front as well. The capacity ramp-up, we think will be quite efficient in that. Our utilization is still down 10%, and we will get much closer to 2019 levels as we step into the rest of the year. And Dave, maybe a bit on stage and gauge?
Dave Clark: Sure. Thanks. And the only color I’d provide is, as mentioned, our gauge is out for seats for departure is up versus two years ago as we brought in 321 new deliveries and as we have restyled our 8020 fleet and added 12 more seats. So feeling good about that efficient flying. Last piece, too, just on the ramp-up of the capacity through the year, Joanna noted it’s fairly smooth. It is, but keep in mind that with the 5-point capacity pull out of Q1, we did not pull 5 points out of Q2 also. So there will be a bit faster acceleration as we go to Q2 just due to that adjustment we made in Q1.
Joanna Geraghty: Yes. And I’ll just add, the 300 in New York includes Newark as well.
Duane Pfennigwerth: And sorry, Europe in that?
Joanna Geraghty: Europe is de minimis if you think about the contributor to that. I wouldn’t view Europe as a meaningful contributor to capacity growth.
Duane Pfennigwerth: Okay. And then just for my follow-up on staffing. With the staff you have in place now, and maybe you alluded to it with that utilization comment, how much larger of an airline could you be today? And given this fairly ambitious ramp into the second half, how would you compare your hiring needs this year versus last year or an average year pre-pandemic? Thanks for taking the questions.
Joanna Geraghty: Sure. So I’d say we’re hiring more this year than pre-pandemic, but it’s important to note that we had a large number of crewmembers actually lead the organization over the last two years. So a lot of the hiring is actually to replace crewmembers to fly the capacity that we would have otherwise flown. I think in terms of hiring, we’re hiring well over 5,000, and we’re very much on track for doing that in the first half of the year, specifically for the summer ramp up. And so we’re pleased with the progress we’re making. We still have – we still have a little ways to go. But everybody is laser-focused on making sure that we’re prepared to fly the capacity we have in place for this summer.
Duane Pfennigwerth: Okay. Thank you.
Operator: Our next question comes from Savi Syth with Raymond James. Your line is open.
Savi Syth: Good morning, everyone. First off, just to follow up on Duane’s question there. Could you quantify just how much of the 11% to 15% growth in 2022? Like how much of that is stage, how much of that is gauge and then just kind of the rest of it being growth?
Dave Clark: Sure, Savi. This is Dave. I’ll take that. The stage for the year is up about sort of 6% to 7% or so, and gauge is roughly in the same ballpark. So that’s giving two of those contributors to growth.
Savi Syth: That’s super helpful. Thank you. And also just on the staffing question. I was kind of curious if you have any confidence that as we get into the next peak, so it’d be like spring break or kind of Easter time period or even in the summer, is there kind of confidence that we won’t have to rely on kind of the elevated incentive pace that we saw last summer over the holidays here. Is there something about kind of the level of hiring that’s happening versus kind of the level of capacity that you’re planning that gives you that confidence?
Joanna Geraghty: Yes. Let me – kind of I’ll give a sort of broad view on incentive pace. If you look at the incentive pay, we had to pay over the holidays. That was largely associated with a massive number of sick calls tied to the Omicron variant. And so I view that as a very unique circumstance. The incentive pay we paid last summer, which actually wasn’t as meaningful as what we paid over the holidays, that was tied to a very fast ramp-up. JetBlue ramped up faster than any other airline from the March into summer time frame. In the U.S., if you recall, the Northeast, obviously disproportionately impacted. We saw an opportunity in March to really ramp up for the summer. So we ramped up very quickly. So staffing and other areas were pressured last summer. So to the extent we paid any level of premium, it was to help with that faster-than-expected ramp up. Our goal is to not pay incentive pay outside of very unique circumstances such as massive sick calls tied to a new variant or weather, where you’ve got a unique sort of a regular operation. So we do think it’s very important to get back to a more stable environment where carriers are not paying meaningful amounts of incentive pay. And the way you do that is by being properly staffed so that you can support the level that you’re flying, and that’s what we’re focused on right now. As I mentioned, we’re hiring well over 5,000 people. Our training center is at MAX throughput and it’s all about trying to get in position for the summer time frame. We should be relatively well situated as well for the spring break.
Savi Syth: Just a quick question. Does the new CDC rules, would that have helped with the kind of the sick calls that you saw back in kind of the December holiday?
Joanna Geraghty: Yes. So the CDC rules actually came out in the middle of the December peak, and it absolutely helped a bit. There needs to be a reconciliation, however, with the New York State and State Sick Pay laws and that five-day CDC rule. There’s still incongruent in that you get paid, for example, in New York, 14 days COVID sick pay, notwithstanding the fact that the CDC says that you – if you’re asymptomatic, you can come back up for five days. So it’s a little bit of a conflict that I think we are hopeful that the various states will remedy and kind of close that gap as we learn more about these various variants.
Savi Syth: Very helpful. Thank you.
Operator: Our next question comes from Catherine O’Brien with Goldman Sachs. Your line is open.
Catherine O’Brien: Good morning, everyone. Thanks so much for the time. Maybe just a quick one on forward bookings. You called out that pretty material improvement over the last couple of weeks as we start to recover from the Omicron impact, very impressive. Can you speak to how spring break and summer 2022 bookings are running on a versus 2019 basis at this point?
Joanna Geraghty: Yes. Maybe I’ll take and then have Dave add any color. So I think you should still think about in terms of peaks and troughs. The peaks are performing very well, particularly as you look at the February President’s Day and into March, ramping up as the quarter moves on. It’s a bit far out for the summer at this point. But Dave, I don’t know if you want to add any color?
Dave Clark: Sure. Just in terms of color, the selling fares for sort of the summer and even April and beyond are up versus 2019. So we feel the demand will be there and are sort of planning likewise, as demand improves throughout the first half of the year, and we see strength in those peaks.
Catherine O’Brien: Okay. Got it. And then maybe just coming back to cost. Like, I know a large percentage of the growth this year is driven by NEA, and then you’ve got more structural changes to your cost structure of 2 to 4 points, also driven by the NEA. And I’m not sure if the E190’s are in that bucket or the 2 points maintenance in that bucket. But either way, I think some of the NEA costs should be transitory like the IT investment and then whichever bucket it’s in the E190 having maintenance will be lumpy, but then we’ll move past it. So as we think about 2023, I know it’s far way off, but should rolling past these transitory pieces of the NEA and E190s drive a cost tailing next year? Or maybe we could see better than flat CASM ex-fuel year-over-year on your standard kind of mid- to high digit growth profile. Just trying to understand like what is – what hits this year that should, in theory, drive some tailwinds into next year? Thanks so much.
Ursula Hurley: Good morning, Cathy. Thank you for the question. So as a reminder, we have 2 to 4 points, as you noted, in NEA investments. And what falls into those 2 to 4 points is, number one, just – the cost of operating at higher cost airports, so think rents and landing fees here in the Northeast. The second category is, to your point, the investment in the E190s, the 30 owned that we have decided to hold into the fleet longer to provide support for the ramp-up of the NEA. And then the third component of the 2 to 4 points is investments in the seamless customer experience. So as we think about 2022, excluding the NEA, we would have had flat CASM ex-fuel. As I think beyond 2022, our sweet spot pre-COVID was growing high single digits while maintaining a flattish CASM ex-fuel. And so I would expect, as we navigate into 2023 that would become the objective. That’s where we believe we can grow margins over an extended period of time.
Catherine O’Brien: Understood. I guess maybe a quick follow-up, if I may. But if some of these costs from the NEA are onetime-ish in nature, is there a reason we shouldn’t expect those headwinds to turn to tailwinds kind of versus your normal operating procedure of flat CASM on growth?
Ursula Hurley: I think how you should think about it is it’s margin accretive growth. So as you look forward to 2023, the top line should be able to more than overcome the level of investment. In regards specific to the E190, eventually, we do intend to retire those E190s and replace them with A220s, which will provide a tailwind from a CASM ex-fuel perspective.
Catherine O’Brien: Understood. Thank you.
Operator: Our next question comes from Conor Cunningham with MKM Partners. Your line is open.
Conor Cunningham: Everyone, thank you. Of the 4 points you cite as tailwinds in 2022, how much is that already captured in your cost structure right now and it’s just not visible given a lot of the near-term noise that you’re seeing?
Ursula Hurley: Conor, just to clarify specific to the NEA?
Conor Cunningham: No. Like in the bridge that you have on the cost, you have 2 points from productivity and business partner initiatives and – yes.
Ursula Hurley: Got it. So as we progress through the year, we expect a robust demand environment where we’re normalizing aircraft utilization. So capacity is going to continue to ramp. We need greater stability in our schedules, which is going to allow us to deliver on the 2 points of productivity initiatives. And that’s really driven by our frontline crewmembers scaling and gaining efficiencies as capacity ramps back up. The other cost initiatives are really ensuring that we continue our fixed cost reductions and hold those through as capacity ramps up through the remainder of this year.
Conor Cunningham: Okay. And then as my follow-up, just on the second half, historically, you guys are going to be 25% larger or so versus 2019. Do you still expect CASM ex to be flat or below 2019 levels during that growth rates? It just seems like the capacity plans really haven’t changed all that much, but obviously, the environment is a little bit different so on and so forth.
Ursula Hurley: Yes. We’ve always said that this is definitely a year of two halves. So as capacity ramps, the expectation is that we will have negative CASM ex-fuel in the second half of this year.
Conor Cunningham: Okay. Appreciate it. Thank you.
Operator: Next question comes from Ravi Shanker with Morgan Stanley. Your line is open.
Ravi Shanker: Thanks. Good morning, everyone. Just a clarification on kind of what your transatlantic strategy is going to be for this year? Is it a wait and watching and see as it comes? Or are you guys going to go kind of all in trying to fill those planes and kind of boost the capacity there? And also just on that note, kind of are you happy with your current corporate exposure, distribution plans, your visibility in terms of being able to really capitalize on that corporate customer flying London?
Robin Hayes: Thanks, Ravi. I’ll take that. And my colleagues will tell you I’m never happy. Now look, I think, certainly, as I think Dave alluded to, London, we kind of started it at a good time because it did coincide when some of the travel restrictions were eased. And as Dave said, once that happened, we started seeing London ramp-up to sort of our system average. It then did take a step back with some of the measures were put in again before the holidays, but we’re encouraged by some of the recent announcements out of the UK, and we’re already starting to see that in terms of additional interest and bookings in traveling. In terms of your question about size, then we have three long-range airplanes coming this year. So it’s going to be another fairly modest step up. So we expect to see – we’re going to add Boston, London, which we’ve already talked about. And certainly, for this year, I don’t see us moving beyond London. We do have 26 LR and XLR airplanes coming over the next several years. And so obviously, at some point, we will look at other markets to Europe that we believe we could succeed in. But the focus on this year will be, again, more incremental growth in London.
Ravi Shanker: Understood. Thanks for the color. And just a follow-up, the strength in the premium leisure part of the cabin; a, do you think that’s sustainable? And, b, where is the opportunity there in the medium to long term? Is it more of a pricing opportunity as people want those seats? Or is there room to actually boost the number of seats in the plane and so it’s more of a mix opportunity?
Robin Hayes: Yes. Actually, I’m going to hand that to Dave, Ravi. But I just remember I didn’t answer part of your question on London, and I want to make sure I don’t lost. So in terms of distribution, again, a very strong leisure offering. And I think a segment in business travel, we do very well in the small, medium-sized corporate. And I think the – just the sheer size of fare reductions that they’re able to enjoy when they fly JetBlue to London versus some of our competitors meant that we don’t have any concerns about the ability to attract both a good mix of business and leisure travelers. So Dave and Joanna then take the question more broadly.
Dave Clark: Sure. And thanks for the question on premium leisure. As noted, throughout 2021, we’ve been seeing strong relative performance in our premium leisure, especially our transcon Mint flights. And that actually sort of peaked at a great sort of illustrative point over the holidays here over the December holidays. We had stronger RASM in revenue on our transcon Mint than we had in 2019 compared to a sort of system revenue that was about 10 points below. So certainly, our performance there, on a more leisure-focused space. Obviously, a period like this where we normally have more business customers and Mint is still trailing a bit versus 2019. But as we recover this year and have the ramp-up in business, we see a great opportunity where we should have combined business plus leisure demand exceeding what it was in 2021. And that creates a bunch of opportunities, both sort of in terms of load factor and in terms of pricing in – obviously, in terms of capacity to where we see a lot of areas to grow and add new seats into these markets.
Ravi Shanker: Great, thanks.
Operator: Our next question comes from the line of Helane Becker with Cowen. Your line is open.
Helane Becker: Thanks very much, operator. Hi everybody and thank you for the time. Just as we think about – so two questions. The first is, as we think about your network, how significantly different is it in 2022, let's say, second half versus 2019 where you were flying a significant amount of capacity to places like Puerto Rico and the Caribbean? And then my second – it's probably for Dave. And my second question is for probably Robin.
Joanna Geraghty: Helane, thanks for the question. I think the most important thing I would highlight is the continued growth in the Northeast. At the end of the day, the NEA is driving meaningful – a meaningful focus there and also growth in our focus cities overall. So I think that's probably the biggest difference, as I mentioned. We'll be over 300 departures this summer across Newark, LaGuardia and JFK. Boston will get back to pre-pandemic levels as well this summer. So I think that's probably the biggest difference. I don't know, Dave, if there's anything you want to add beyond that?
Dave Clark: No. Beyond that, it's pretty consistent. We're still very focused and our focus cities with 97%, 98% of our flying touching focus cities is just more growth in New York and Boston than the rest of the network overall.
Helane Becker: That's very helpful. Thank you. And then just for my follow-up question, last week, 5G was a big thing. And Robin and you were very visible talking about it. And I just have a question about the E190s because, as I understand it, about 90% of aircraft have been clear to fly into the biggest airports, but the regional airlines and the RAA are concerned about smaller airports. And I'm just wondering if that informs where your E190s can fly, or if there's some thought of accelerating retirement of those because of limitations or maybe I have that all wrong?
Robin Hayes: So you see, Helane, my team were very wide that I was going to get this question because it brings all of my avionic engineering background out. And so I'm going to try and keep this very tight and not burn the rest of the time. But look, this is going to be a dynamic process. I mean, the way it work is the FAA issued NOTAMs and then what was called AMOCs alternative means of compliance were issued that then gave effectively exemptions to those NOTAMs. Those AMOCs were really issued on a fleet type and altimeter combination. And so it kind of looks different depending on what airplanes you have and what altimeters you have. We certainly do on our E190s, have a – let me say, a less forgiving footprint. And so we would have issues operating our 190 equipment right now in certain airports, including some of our larger airports, in conditions where we could not fly CAT1. Fortunately, that's a very low percentage of flights, but it's out there. Now the point I want to make, this is a dynamic process. So right now, the FAA is telling us that these AMOCs will be updated every month based on more data, as more 5G cell towers get lit up. And so it's going to be an ongoing iterative process. So whilst I'm pleased. The big crisis was averted. Whilst I'm pleased that the industry and the government is now collaborating effectively to work through this problem together, we can't assume that we are completely out of the 5G woods yet.
Helane Becker: Okay, thank you very much for that. That’s very helpful. I appreciate the time.
Operator: Our next question comes from Andrew Didora with Bank of America. Your line is open.
Andrew Didora: Hi, good morning, everyone. Maybe just one follow-up here on the growth plan. So Joanna, when I look at kind of what your back half of 2022 capacity implies, I'm getting kind of high teens, pushing 20%. And then when I look at the fleet plan and the presentation from this morning, I know you're taking 29 more aircraft in 2023. So kind of what – with this exit trajectory in 2022 plus your fleet plan, what could 2023 capacity look like at this point?
Joanna Geraghty: Yes. I think we're probably a little bit of aways from guiding that given how the environment remains still quite volatile. I think the message that we're very confident about is we have extremely strong revenue performance. Our business model is well positioned to take advantage of the recovery. The NEA is extremely well positioned to enabled JetBlue to grow in an otherwise constrained market. And so as we think about kind of 2022 and beyond, that Northeast footprint, as Dave talked about, demand recovery in the Northeast, we're very encouraged by what we're seeing. And so we're confident that we have the right fleet plan for the next years. Although my network team obviously always wants more airplanes, but we're very confident with the fleet plan that we have, and we'll continue to focus on margin. And if we can drive superior margins as we move through the next few years, then we'll take that into consideration as we plan our capacity out.
Ursula Hurley: Andrew, one thing that I would add – this is Ursula, is that even though we have 29 deliveries next year, we're actually moving into a phase where we're starting to retire airplanes. So we're actually planned to retire at least 10 shells in 2023. So as a reminder, 30 of our E190s are leased, and so they start to return next year as well as our A320 fleet is aging, and so we're retiring a few of those next year as well. So this is going to be a common theme as we navigate 2023 and beyond.
Andrew Didora: Understood. And then, Ursula, I wanted to ask you, when you built out your 2022 cost plan, just curious what type of labor inflation are you baking into sort of each of your big labor groups for this year? Thanks.
Ursula Hurley: Yes, good question. So obviously, we're seeing the pressures that everyone else is seeing. We're ensuring that our front-line crewmembers are paid appropriately in order to attract relevant talent. So the objective is that once we get to a normalized schedule and the capacity starts to uptick through the latter part of this year, we really got to drive these productivity initiatives to offset that level of inflation that we're all seeing. So that's the objective is to drive efficiencies and productivity to offset that inflationary pressure.
Andrew Didora: Okay, thank you.
Operator: Our next question comes from Jamie Baker with JPMorgan. Your line is open.
Jamie Baker: Hey, good morning, everybody. Back to some of the topics from Ravi's question and a bit of a rehash of what I've asked before. But can you give some color on how the transatlantic year two profit plan has evolved since you first announced the expansion? I mean that was obviously pre-COVID, it was pre-NEA. You got some Heathrow operating experience under your belt at this point. The competitive landscape has changed. I mean it feels like a mix of pros and cons. I've got to imagine your margin assumptions today are different than what they initially were?
Robin Hayes: Yes, Jamie. And obviously, I failed to answer your question well enough last time. So I'm going to let Dave have a go at doing at this time.
Dave Clark: Sure. Thanks, Jamie, for the question. And yes, it's been a dynamic for sort of half year in London. But in general, we're really pleased. I think we've had terrific customer response, terrific media response for building a name for ourselves in the UK point of sale, book with leisure and with the corporate side, where we have a team there working to deepen those relationships. We feel great about our first six months of operating in London have had really strong performance there. So all the foundational pieces are coming together really well. In terms of sort of revenue and demand, it's obviously been volatile with Omicron cases as well as just trial restrictions sort of coming in and out. But we remain, I think, extremely bullish on what will transpire this spring and summer and the second half of the year. We expect cases to go down. We expect travel restrictions to continue to peel away. I think the last 1 comes off February 11 for the UK market. So we feel very good that we will continue to ramp up well, not only our JFK flying into London, but our new Boston flying as well. So feeling really good despite the choppiness of the first year as we go through the second year.
Robin Hayes: I'm going to go a bit further on that, Dave, because I kind of know what Jamie is asking from last time. So what I'd say is this, Jamie. When I look at our Mint flying, both from a TransCon point of view and now London, it ramps up quicker and it performs above system margin. And so when I look at London, I'm very confident that our unique offering of a great product at a lower fare, targeting the vast majority of customers who fly in premium that don't have access to a corporate deal or any kind of form of discounted ticket, I think we're looking forward to we're seeing that. I think Dave gave – made a very good point. Obviously, been a bit of a stop start first six months, but we truly believe London will take its place in our hall of fame together with many of our Mint markets that we see that. And I will remind you because you've been following us a long time. What a disaster JFK to L.A. Basin used to be for us and how Mint transformed our profitability and make that, at one point, the most profitable route that we flew. And so I'm looking at seeing the progress we can make in London.
Joanna Geraghty: Just a reminder, it's 2% of our ASM.
Jamie Baker: Yes.
Robin Hayes: But it will be more Jamie, it’s very successful.
Jamie Baker: Yes. But that's actually – and thank you for everybody's comments there. It's a good segue into my follow-up. On premium leisure, you've cited Mint outperforming several times, you just opined in the transcon. But other than Mint, where are you really capturing premium leisure demand? Again, aside from Mint, I mean, do you really have the right hard product to compete in this market in non-transcon or non-long-haul markets, let's call it?
Joanna Geraghty: Yes, Jamie, maybe I'll take it and Dave, feel free to add color. So I mean at the end of the day, our product offering is far superior to what other carriers are currently out there offering with regard to sort of that premium core coach customer, even more space, the free WiFi, most legroom in coach. I mean, we like to think that our core offering really taps into sort of this leisure customer that's willing to spend a bit more for more in exchange. If you look at our performance into Florida over the holiday period and to some of the other markets, we've really done well with even more space product and really capturing our fair share of customers. So I think you hear a lot of other carriers talking about the premium segment. We are well positioned already given the product offering to tap into those leisure markets given what our business model is built around. Dave, anything beyond that?
Dave Clark: No, that’s it.
Robin Hayes: And then, Jamie, please don't forget our JetBlue travel product offering with the ability to give the customers a single booking with multiple parts of experience. And I think the insider experience they offer, the concierge service, the seamless commitment when things go wrong, I think all of that is very, very focused on our premium leisure and our leisure segment.
Jamie Baker: Excellent. I really appreciate it. I suspect our next call is from Hunter Keay of Wolfe Research.
Robin Hayes: No, you're wrong about that, Jamie.
Jamie Baker: All right.
Operator: The next question comes from Brandon Oglenski with Barclays. Your line is open.
Brandon Oglenski: Yes. I guess, Jamie, don't try to box out Barclays so soon there. Guys, thanks for taking the question. I guess, Joanna, following that discussion on premium economy, how does that square up with the NEA where obviously, the products are not going to be necessarily fully aligned if you're booking a JetBlue code-share you expect free WiFi, most legroom in coach, you might not get that on the other partner. And I guess the second part to that question, how does the revenue sharing here help incentivize that competitive growth? Thank you.
Joanna Geraghty: Thanks. It's a great question. At the end of the day, we're very focused on making the experience between American and JetBlue as seamless as possible. There are, as you point out, some differences in the product offerings. We have certain things that we offer. They have certain things they offer. From our perspective, it's all about ensuring adequate disclosure on the website so that customers know what they are getting. But if you think about loyalty, I think we've done some really great work there in terms of bridging those loyalty programs, reciprocal unburn. We now have Elite recognition, which is very exciting for our most loyal mosaics and American has access to that for their most loyal. So that's how we're approaching it. But at the end of the day, there are unique product differences, and we need to make sure customers know when they book that JetBlue is operating the flight or American's operating the flight as the case may be.
Brandon Oglenski: Yes. And I guess, there's a unique aspect here with the revenue sharing between the code-share partners. Can you talk to how that helps incentivize what you guys want to accomplish?
Dave Clark: Sure, Brandon. This is Dave. I'll take that. In general, what it does is that it ensures that we're both thinking about the NEA as a whole and the partnership as a whole, and we're not worrying about is the customer choosing the JetBlue flight that day or the American fight that day. So it's a nice sort of alignment mechanism to ensure that we're aligned and focused on the NEA providing sort of the most consumer good and also driving the best sort of revenue outcome.
Brandon Oglenski: All right, thank you all for the time.
Operator: Our next question comes from James Hollins with BNP. Your line is open.
James Hollins: Thanks for taking the question. Very cliché for it to be asking about transatlantic, even though it's 2% of your ASMs but just as I look at it, I was wondering if you could just give me a bit of feedback on your customer reaction to Heathrow, Gatwick? I mean clearly, you've got Heathrow slot I think, until October 2022. I was wondering if it was absolutely sacrosanct that in terms of making this route network really work for you or where the Gatwick is performing just as well? Thanks.
Robin Hayes: I'll take that. No, I mean – look, I mean, I think that we've been pleased with both – if we strip out the noise that has come with some of the travel restrictions, when we were sort of in a more close-to-steady state, we were pleased with what we are seeing both at Heathrow and Gatwick. And the reality is there isn't that much option to Gatwick. And there's a big population center, both in South London, Southeast and North of Gatwick that really would prefer to fly out of Gatwick. So – but, yes, we've been very pleased. And so certainly, whilst we're likely to get into Heathrow, I think that was very important because Heathrow is the airport that has suffered a lot from very high fares to the U.S. over the years. I think our ability to fly into Heathrow has helped the whole fare structure across the market fares come down. But Gatwick, obviously offers a greater growth potential as well. And so we continue to see a path to serving more than one airport. And I think the fact we're flying it with a narrow-bodied airplane also gives us optionality that some of the wide-bodied operators don't necessarily have as they think about London Airport.
James Hollins: I appreciate the thoughts. And just a broader question on your ESG commitments, I was wondering if you're sort of seeing strong signs of incremental customer loyalty from your our clear leadership in that space or even price inelasticity? And regarding ESG, are you kind of sort of done with major announcements after I think ESG first and last time as you sort of fed that into the medium term? Thanks.
Robin Hayes: No. On the customer loyalty, yes, look, there is a very small group of customers currently who, I think, put a high value on that. I think – well, I'm confident it's going to grow, and it's going to grow quickly. I think the only reason we haven't seen more of that is really linked to COVID, which has become sort of such a distraction for many people. And in terms of your second question, then, no, I mean, whilst we've been very pleased with the SaaS deals that we have in place, we want to continue to lead here. We are – we have a 2030 10% target for SaaS. It is our goal to try to exceed that. And so our team is currently continuing to work on a number of follow-up staff deals and more in due course.
James Hollins: Okay, many thanks for the time.
Robin Hayes: Thank you.
Operator: Our next question comes from Hunter Keay with Wolfe. Your line is open.
Hunter Keay: Hi, good morning. Sorry, that was my fault in the queue – I wasn’t queued in, thank you for taking. Anyway, thank you, Jamie. So couple of questions for you. When you say you're going to take market share in New York to the NEA. Who are you taking share from? Is that American's share shifting over to you? Or is it somebody else?
Joanna Geraghty: No. I mean I think what we're looking at is being a sort of a third viable competitor in the region compared to United and to Delta. And so given the combined network between American and JetBlue, we're confident, and we're seeing this response from the business customers and the business companies that we're meeting with that they're very encouraged by the network offering that we have and in terms of the ability to drive more competition into the region. And so that's our focus, specifically in the Northeast.
Hunter Keay: Okay. Thanks Joanna. And then I think the capacity plan, just a minute on that and jet fuel. Obviously, historically, there's a relationship between a little bit of marginal supply getting dialed back when jet fuel goes up. But is that relationship sort of on hold right now where you might be a little bit more hesitant to dial back some of the marginal supply just because we're in such an anomalistic demand environment? Are you going to wait until we get into the summer before you would make a customary decision on dialing back capacity in response exclusively at the higher jet fuel?
Ursula Hurley: Hi, Hunter, this is Ursula. Thanks for the question. Yes. Listen, we make capacity decisions through the lens of margin. Historically, we've performed very well in high fuel environment. To your point, there has been that historical dynamic where we've been able to pass on 70% of jet fuel increases with a month or two of lag in high fuel environment. Given the environment that we're in today, we'll have to see if that relationship settles back in as we continue to dial up capacity and work our way through this recovery. But just as a reminder, we'll continue to make all capacity decisions through the lens of margins as we navigate through the summer.
Robin Hayes: And I would say – I might just add to that, Hunter. I think in terms of timing, I think one of the – and I know this isn't a fuel answer, but we've been in a situation with some of these waves of COVID, where we're making capacity changes within one to two month period. That's expensive because you really got the crews scheduled and so you have to effectively pay for the crew. And so with a fuel environment, to Ursula's point, if we start to see months out that we start to get concerned about this, then we can make adjustments. And I think we – if there's one thing we and really all airlines have learned to during the last couple of years to be extremely nimble and react quickly to changes in capacity when we need to make them. Margin will help us drive that. We just are very bullish coming into summer because of the demand that we anticipate. And then we – fall and later in the year, we have time to review that.
Hunter Keay: Okay, thanks Robin.
Operator: Our last question comes from Chris Stathoulopoulos with Susquehanna International Group. Your line is open.
Chris Stathoulopoulos: Thanks for taking my question. So I'm guessing – you've been doing some survey work around business travel. And if so, curious if there's been any meaningful change in the appetite for corporate – large corporate or SMB travel versus where it was six or seven months ago or pre-delta? And also, are you seeing any change in user demand, meaning a shift between tech consulting finance or health care? Thanks.
Dave Clark: Thanks, Chris, for the question. This is Dave. I'll take that. No, we have not seen any fundamental shifts in the last six months. We have seen some, I'd say, choppiness based on variance coming through. But we are seeing really good recovery pace in the fourth quarter. And from about a third recovered in terms of bookings to half recovered and the pace of about one month before Thanksgiving. So things are moving really nicely. It's obviously peeled back a little bit here. What we're seeing right now is mostly sort of individual travel. It's going to see clients going to build new relationships going to close the deal the sort of large meetings, whether external or internal are a bit on hold for Q1. You guys probably saw a couple of high-profile ones go entirely virtual or largely virtual versus the original plan. So we continue to see right now those industries that have more of that client relationship probably traveling a bit more as well as other continued things we've had throughout such as media production and whatnot. But I think once we get through Omicron here and through the spring, we'll see a return to that strong recovery that we're seeing in the fall and have sort of not only all these different industries growing, but different use types, growth – growing, especially some of that are getting pretty largely pent up now in terms of gatherings, whether external or internal large gatherings, I think, are set to really grow in the warmer months this year.
Chris Stathoulopoulos: Okay. And just my follow-up. So you've historically looked at margin as your North Star. And given what increasingly looks like transition to an endemic state for COVID-19 this year as well as significant pent-up demand in business and long-haul international travel. How should we think about the cadence of recovery in your pretax margins through this next stage of the recovery? And I guess, the punch line, do you still think that you can exceed 2019's 9.5% next year? Thanks.
Robin Hayes: I'll take that, and I'll just give it a helpful in my answer. It all depends on future COVID waves because I do think we have to be realistic. And whilst we are hopefully, and we all want to enter an endemic phase, we don't know for sure if another wave isn't going to come along. I think what we're confident is as these waves come, providing people feel protected against it, the impact will be shorter. But having said that, as I look ahead of the rest of the year, with Q1 behind us, I would expect us to be profitable for the rest of the year, and based on the revenue momentum and based on the cost initiatives that we have in place, to grow back to that $2.50 to $3 as quickly as we can and then grow beyond that. And I think that when I think about the revenue momentum, when I think about the older revenue initiative and our long-term cost trajectory, we're very focused here in the short-term, I do appreciate it's fairly bumpy and hard to sort of see the wood from the trees sometimes. But when we look at the A220 fleet renewal, when we look at the 192s retiring, when we look at – as we kind of peak through some of the V2500 shop visits on the engines, which should drive a lot of maintenance cost, we have a very strong cost trajectory over multiyears. And so we should be sitting here with an expectation that we can grow this business mid to high single-digits capacity, maintain our cost flat or close to flat and drive top line revenue. And so all of that, I think, gives me a great deal of confidence that we continue to grow margins and our earnings beyond even what we had expected to earn in 2020 had COVID not come.
Chris Stathoulopoulos: Great. Thank you for the time.
Jose Caiado: Thank you. And with that, we'll conclude our fourth quarter 2021 conference call. Thanks, everyone, for joining us. Have a great day.
Operator: And again, that will conclude today's conference. Thank you for your participation. You may now disconnect.